Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Unidentified Company Representative: 00:00 [Abruptly Started] performance, which we have available on our website. First let me elaborate on the group net income. Woori Financial Group’s cumulative net income as of the third quarter of twenty twenty-one was two trillion one hundred and ninety billion one at the highest performance ever recorded on an annual basis. Despite uncertain local and global circumstances, the group achieved an increase of ninety two point eight percent year-over-year, which resulted from stronger proper generation capabilities stable at quality and continued found cost management. A company’s net income for the third quarter of twenty twenty one was seven hundred and seventy billion won and approximately sixty billion won was booked [Indiscernible] due to the private funds delayed redemption. Net income surpassed the quarterly high of the second quarter and again set a new quarterly record. 0:57 Ever since the first quarter, we have been replacing the record high every quarter, continuing on with their earnings turnaround trend. Next is the group's net operating revenue. The accumulated Group net operating revenue for the third quarter was six trillion and eighty-one billion won, up twenty-point six percent year-over-year. Interest income was five trillion eighty-nine billion won and non-interest income was one trillion ninety-two billion won. 01:26 Although margin improvements was stagnant in the third quarter, thanks to solid growth centered on loans to SMEs, the group's interest income as of the third quarter reached five trillion eighty nine won. As of the third quarter, the group's non-interest income amounted to one trillion ninety two billion won, up fifty seven point two percent YoY, driving the improvement and business performance. 01:54 Our efforts to break away from the profit structure centered on interest income has paid off and the group's non-interest income has now grown stronger in terms of composition as well as absolute size. Meanwhile, the company's third quarter net operating revenue exceeded two trillion won following the second quarter staging two trillion one hundred thirty-seven billion won. This is an increase of three-point nine percent QoQ and twenty-four-point seven percent higher YoY. 01:50 Let me now move on to the cost side, including SG&A and credit costs. The group’s accumulated SG&A expenses as of the third quarter stood at two trillion seven ninety three billion won increasing three point nine percent YoY. This was mainly due to the effects of the newly included capital company and Savings Bank and when excluding this impact to the increase was only approximately zero-point seven percent YoY. 2:54 As per third quarter SG&A expense, thanks to group-wide cost improvement efforts, it recorded a slight decrease compared to the previous quarter. The group's cumulative SG&A cost income ratio as of the third quarter was forty-five-point two percent an improvement of seven-point three percentage points YoY. 03:12 Meanwhile, as of the third quarter, the group's credit cost was three twelve billion won and credit ratio was zero-point one three percent and improvement by zero point one six percentage points YoY. The group's key asset sounds indicators are as before being stably managed at historical lows. 3:31 Next, I will elaborate on the Group's business performance in more detail by decision. Please refer to Page four of the presentation material. First, let me go over interest income and as of the third quarter, the group's net interest income totaled five trillion eighty-nine billion won. During the third quarter NIM in the banking business decreased slightly by zero point zero one percentage point Q2 to one point three six percent, but the group's NIM or NIM including the credit card business was one point six percent meeting in previous quarter levels, meanwhile in terms of third quarter interest income despite the temporary statement, NIM improvement in 3Q driven by SME-centered loan growth interest income recorded one trillion seven and sixty six billion won up by approximately sixty three billion won in Q2. 04:23 The main factors contributing to this location and NIM improvements in third quarter with the decline in market rates, including government fund and the loan repricing effect coming to an end. However, with the rate hike at the end of August and efforts to increase, our low-cost deposits stronger, NIM improvements are expected to continue again in the fourth quarter. 04:46 Next, let me go into asset growth and our loan portfolio. Bank loans as of the end of September totaled two hundred and eighty six trillion won up eight-point percent or twenty-one trillion won versus previous year end. Corporate loans stood at one hundred forty-eight trillion won, a growth of twelve point one percent versus last year and centered SMEs loans. In particular as for SME loans due to the increase in demand as of third quarter, it increased by thirteen-point five percent versus previous year and to one hundred nine twenty-one, household loans amounted to one hundred thirty six trillion won and driven by real demand loans such as cancelled loans had increased four percent versus the end of last year. 5:28 In the meantime, while SME loans continue to grow at double digit this year as in the previous year. Woori Banks prime asset ratio as at the end of September recorded eighty-point two percent nevertheless. This is a level consistently exceeding the management target of eighty five percent plus and is the result of our efforts to maintain a growth policy centered on prime assets. 5:50 Next, is on the group's non-interest income. As of the third quarter, the group's non-interest income stood at one trillion ninety two billion won up by fifty seven point two percent YoY driving the turnaround in our earnings. This is attributable to and even growth of all sectors including not only growth in core fees and commissions, but also returns from securities. In particular, the focus of the group's of CID capabilities from the very beginning of the establishment of the holding company bore fruit and the profitability related to the IB sector increased significantly. In addition as business is booming in the credit card and capital business and synergies with other subsidiaries such as banks are in full swing related non-interest income is also on the rise. Thanks to these efforts, the group's third quarter non-interest income recorded three seventy one billion won exceeding three fifty billion won for three consecutive quarters. 6:45 Next, let me move on to expense and capital adequacy. Please refer to page five. Next is group SG&A expense, group SG&A expense from Q1 to Q3 recorded two point seven ninety three billion Korean Won and increase of three point nine percent year-on-year. This is mainly attributable to the acquisition of new subsidiaries including the capital and savings bank businesses. If the acquisition effect is removed however the increases minimum only around two point seven percent year-on-year. Thanks for the group efforts to continue today ratio Q3 SG&A is at a similar level to out of Q2. The group's C/I Ratio recorded forty point two percent managed that stable level of the group annual target of around fifty percent. 7:33 Next is credit cost. Group credit cost to Q3 recorded three twelve billion Korean Won declining forty six point eight percent compared to the same period of last year a large scale position it was done [Indiscernible] with future economic outlook. CCR also decreased of around zero point one six percentage points year-on-year and improved to zero point one three percent. Group credit cost in Q3 came in at one hundred seven billion Korean Won increasing around thirty eight billion won quarter on quarter due to [Indiscernible] in Q2 but aside from this Q3 ordinary credit cost is similar to that of Q2. 8:18 [Indiscernible] business culture has cascaded down to all group’s of C/I, I think for this Global Credit reading agency usage raised Woori Bank’s credit reading last on July thirtieth following S&P upgrade. The latest upward adjustment is a testament to the group's sound risk management and lending portfolio stability. CCR and other sound as indicators are at their district flow? As the end of September, this year's CCR stands at zero point one three percent and NPL Delinquency Ratios came in as zero point three one percent point and zero point two four percent respectively, the same continued to improvement. Despite [Indiscernible] we will further behalf our efforts for asset quality management to brief more future base rate hikes. 9:06 Next, I will capital adequacy and dividend policy. As of late September, the group's CET1 ratio recorded at ten point one percent and projected to increase zero point two percentage points to year-on-year. Despite a surge in lending, this is [Indiscernible] income and proactive management of risk weighted assets. We are currently working to obtain additional approval on internal reading based approach and hopeful that there will be a positive results soon. 9:37 As part of our stronger shareholder return policy we have paid out one hundred and fifty one per share as interim dividend on July twenty third following first half account settlement. As we have shared via business report disclosure and first half earnings call, we are reviewing to adopt and active shareholder return policy within the balance of securing background prudent against COVID-19 and optimal capital adequacy ratio. The plan to raise the dividend payout ratio to the level of thirty percent mid-to-long term. Before concluding the presentation, I would like to offer an update on one of events in Q3 and also issues pertaining to privatization. 10:21 First is on KeyBank on internet only bank. The group has invested in KeyBank as of Woori Bank and as of end of September holds twelve-point seven percent shares. Last July, KeyBank successfully concluded. Capital increased at a premium issue price compared to the face value in recognition of its high value by investors [Indiscernible] following successful rights offerings. These also incorporated into our Q3 results, the gains using equity method was around seventy billion won. Also KeyBank is now removed from the group's subsidiary list due to Woori Banks are decreased shareholding ratio pursuant to the Banking Act. 11:04 Next is on private funds. The group has satisfied a provision of sixty billion won before tax in Q3 against funds with different payments. The total amount of funds is under payment, this maturity is around one hundred ninety-eight billion won and Woori Bank’s [Indiscernible] last twenty second to meet fifty percent advanced payments to protect consumers and restore customer trust. The group has satisfied and allowance of around sixty billion won against potential losses from some other funds and pre-entered, pre-cleared future uncertainties. This provision is aimed as eliminating in remaining uncertainties associated with gentle partners and other private funds. With the latest provisioning, we believe there will be little possibility for additional private fund related provisioning going forward. 11:59 Next, I will brief on the KDIC disposal of its remaining shares and Woori Financial Group. As you would have probably there media reports on KDIC is in the process of uploading ten percent stake out of the remaining fifteen point one three percent stake in the group. Letters of intent were received until October eight and many prospective investors [Indiscernible] have shown interest in the upcoming sale. The bid will close on November eighteen and winners will be announced on November twenty two and final agreements would be executed sometime time in December. 12:38 Furthermore a buyer of more than a four percent stake will be granted the right to recommend a non-executive director of a Woori Financial Group and that was expected number of outside directors will increase The new additions are will bring diversity to the board makeup and help stabilize and improve the group's governance. Once facilities is successfully concluded, we expect overhang risks will be significantly reduced which also cited as a major factor depressing Woori Financial Group’s stock prices. 13:10 During Q1 earnings call, So I would like to ask for your continued interest and support with how because they concludes the sales. During Q1 earnings call, I explain to the investors and participants Woori Financial Group's three key financial undertaking for twenty twenty one, they were first to turn around the top line through stronger business activities, second after fee managed C/I Ratio, third to improve capital ratio. To Q3 maybe officers and employees of the group may sincere your efforts to deliver on these commitments as a result you were able to achieve turnaround in our earnings in each quarter, furthermore giant capital ratios have improved at a capital stable level. Woori Financial Group is committed to fulfil its key targets and market premises. With that, I would like to conclude Woori Financial Group’s business report for Q3. Thank you for your attention.
Operator: 14:12 Thank you very much. We'll now begin the Q&A session. [Operator Instructions]. For smooth proceeding of the session we will receive only one question per person. And your time may not able to offer opportunity to ask questions to every participant today. The first question is by [Indiscernible] Kim Jin-Sang, your question please.
Kim Jin-Sang: 14:54 Hello, thank you very much for that excellent performance. And I do have a question with regard to the expenses. I do see that it's being managed well and it seems quite exceptional in terms of your cost management. So if you look at nonbank domains including securities, we have seen bonuses and we're seeing a bullish market in terms of expense, I think that we will be okay till year end, but It would be very difficult to control the cost going forward after year end, especially going to next year. So I would like to understand how are you going to differentiate yourself in terms of cost management going forward and especially for next year in terms of increase in C/I Ratio and also in terms of the CIR, I think that you may have a particular target for next year. So if you may share that with us, we would appreciate it. Thank you. 16:03 Yes, Mr. Kim Jin Sang from Hyundai Motor Securities, thank you very much for your question. and as you've mentioned that you've asked the question with regard to our cost-to-income ratio how it was so successful and also in terms of the net term to twenty twenty two, what our direction would be. So as we prepare for the question, please bear with us for just moment.
Unidentified Analyst: 16:30 Yes. I'm [Indiscernible] CFO. Let me answer that question. So we were sending the plan last year for the bank, it was to remain as usual and we've mentioned, we've decided to increase the non-banks in accordance with their performance and we've engaged the rationalization of personnel costs and other costs. So with regard to cost management for this year, is going to be on track as planned. And as mentioned in terms of the composition. So, we will continue on to engage rationalization of the personnel and the banks. So the bank business is about seventy percent to eighty percent of expenses so we're going to rationalize personnel in the banks to manage the cost. But of course, we're going to utilize our digital channels the cost there. We will be executed in an aggressive session and in the case of non-banks, this is an area M&A, so we do need active investments, but in terms of the scale, it's not as big, so it will not have a significant impact, but what we want to do is in terms of non-bank investments is going to be in line with operating revenue. So the banking sector that has a significant impact, we're going to actively rationalize and manage the cost for personnel to maintain C/I Ratio in the mid-to-long run, we want to make to achieve the forty five percent target range as quickly as possible. Thank you.
Operator: 18:02 Thank you very much. Next person is with the question is not yet ready, I believe that our participants are still trying to come up with their questions. Yes, I see a question. So the next question is from Yuanta Securities, Tae Joon Jeong. Please, you have the floor.
Tae Joon Jeong: 18:27 Yes, good afternoon, my name Tae Joon Jeong from Yuanta Securities. I’d like to thank you all for your excellent performances. And I do have question November and within Q4, I believe that IVR live is going to be approved and I understand that you have whole plans already, in that case, how much of capital do you have already and so if you acquire a securities company or if anything non-security companies, if you were to acquire a new asset, compare to other subsidiaries that you already have what's that do synergy effect do you expect? 19:09 Yes Mr. Tae Joon Jeong, thank very much for your question. So Woori Financial Group’s future growth and also IRD approval and the future M&A plans and also the synergy effect coming from the future business portfolio. So these were the questions used by are participants, So please bear with us. As the prepare answers.
Unidentified Analyst: 19:43 Yes I'm CFO, my name is [Indiscernible] I would like to answer your question. First of all, I have to be once its approved, I believe more than one percent ratio is going to be improved or increased so one percent means that about two trillion one capital would increase and also twenty trillion one in terms of risk weighted assets. So, is how that is, provided that we have an improved IRB approach. So with that I believe that we can do some more M&A going forward, and on top of that. If you go to your second question. I believe your question was about our furture M&A plans. As a financial group, we believe that our business portfolio is not yet complete and their form as you radio where we're trying to acquire a securities company and also eventual capital business or and it's NPL so we believe that in generate maximum synergy effects we believe though we need securities on, but if you think about securities, are there not many companies out there for sales. Therefore, we are doing a lot reviews and our first tentative for M&A although the market does not have any tentative already, we are targeting to acquire a securities company and as I mentioned earlier here, NPL or an capital companies those are also that type of companies that we hope to acquire. 21:15 And we currently have about a six trillion won that we can invest, and we do have a lot of room to manoeuvre with that and once our [Indiscernible] is approved, again, that would mean more than one percent and in terms of capital [Indiscernible] one and risk weighted assets twenty trillion won, so thank you.
Operator: 21:40 Thank you. Next question is by KB Securities [Indiscernible]. Please go ahead with your question.
Unidentified Analyst: 21:48 Thank you for the opportunity to ask my question. In the quarter, I can see that the name of the banking sector slightly decrease and as was mentioned in the presentation in the fourth quarter and next year going forward mentioned NIM will be improving and going forward. So already at the end of August [Indiscernible] rate hike and in terms of rate hikes it is to come within the year, so then in the fourth quarter and next year, can you give us more information on how NIM will be improved going forward? Would you like to elaborate on that please? Thank you.
A –Unidentified Company Representative: 22:27 Yes, Mr. [Indiscernible] thank you very much for question. The question to with, the temporary stagnant to NIM improvements for the third quarter and on the forecast for fourth quarter and also considering the policy rate hike within the year about our guidance. So please bear as we prepare the answer for question. 22:52 Yes let me answer that question. From July twenty nineteen and May twenty twenty and increased by one point two five percentage points. So if we think of one point two five, NIM would be a drop of ten BPs and in terms of the impact. But this year we've improved in our core deposits and also increased in loans profitability so through our efforts, we were able to provide ten BPs and able to bring this level to previous year and in August, policy rates increased by zero point two five percent and in November, there is to be – the policy rate hike, so we're seeing a rate hike trending overall. In terms of CD rates, it was a temporary decreased and a loan repricing was winding down So the third quarter NIM was stagnant to previous quarter levels. So if we look at the overall rate market it being on the increase in cost deposits and increase in loan profitability, will be something be pushing forward so in August, zero point five percent increase and in November another zero point two five percent rate hike if we consider all that and in fourth quarter, it would be probably about one point four percent and early next year, mid one point four percent that's what we predict. That is our guidance. Thank you very much.
Unidentified Analyst: 24:21 Thank you very much.
Operator: 24:23 Next question is from HSBC Securities, Mr. Won Jaewoong. You have the floor.
Won Jaewoong: 24:32 Yes. Thank you very much for that wonderful performance. I also have a question related to NIM; however, I think that our third person asked a question already covered that. Next I would like to talk about lending growth, I think household lending regulation is going to be in place and continue to be in place, in that case as new loans or large corporate banks, I believe you probably require strategies, changed the strategy that this so are you going to continue to grow those loans in order to control your credit costs, are you going to try to reduce other lending? So I’d like to know about your lending growth prospect. Yes, thank you very much Mr. Won for your question from Woori Financial Group of what is our future growth plan related to lending and also household lending digging into consideration was would the or growth plan. Thank you very much. And please bear with us as we prepare the answer.
Unidentified Company Representative: 25:38 Yes, I would like to take the question. This year and also next year, I believe that we do have a capital ratio that we have to meet and it’s relatively lower compared peers at the moment. So I believe that where CET1 ratio, our target is to achieve eleven percent so eleven percent of CET1 ratio and we also have that we get into consideration government revolution on household lending, so overall my plan is that there is going to be a growth of six percent to seven percent of course. So we are trying to prepare a plan for that and our prospect or our outlook is sixty percent to seven percent. Again because of absolute move on the regulations I believe that it's going to be a bit lower for the entire group however for non-banking and also for global business, our goal is to cost any grow, our lending especially for global business, I believe we can grow our lending further, so again our CET1 ratio it has to be maintained at eleven percent this year and next year. Thank you.
Operator: 27:01 Okay. Thank you very much. Let us now move onto the next question from [Indiscernible] Your question, please.
Unidentified Analyst: 27:11 Very nice to meet you [Indiscernible] financial investment. I have question with regard to the digital business. So recently with neighbour financial, there was a smart to our lending project or program that was launched so in the media, as mentioned it surpassed to one hundred billion in ten months so out of the many banks. With neighbour financial, how were you able to strike this affiliate relationship and where there is specific terms and conditions and second has to do with the profit split, how do you split that profit and third, is with relative data that you taken acquire the process and any other information. Is there any that you can actually you to twice or acquiring the process? And what is the target lowering pricing that you are looking into or you're planning?
Unidentified Company Representative: 28:09 Yes. Thank very much for your question. So let me briefly summarize your question. So first, it was on the linked loans with Neighbor Financial and you asked about the background behind business what the terms and conditions and profit split structure and also about any data or with regard to digital IT Information, are there any additional benefits in this working relationship so as we prepare your question please? Bear with us. Yes. Thank you very much for the question. I'm wondering charge of the digital business and the CEO. So it's regard to me for smart store the loans, as you're very well aware, it's not a retail service. It is for the vendors on the smart store. So it's for these small entrepreneurs and the basic objective of this loan business as it's the case front the smart store it's to support the small stores, these small entrepreneurs. So that is the major purpose behind this program. But of course, it's a very difficult for them to extend loans or get loans. 29:33 So this is a business certification profile our system where for these small entrepreneurs or small businesses, we do have a separate credit evaluation model where in the detail level with Neighbor and Neighbor Financial and Woori would came together or to put together new due diligence or deliberation model and extend loans based on the system, in terms the commission – in terms of the fees and commission, compared to other online platforms when we do engaging a loan brokerage, it is a certain percentage of the actual amount that's extended. So that's the terms and conditions behind this business relationship. 30:16 And regarding the data, it's a completely different type of data that we can get from other financial companies. For instance, if we do have, so the social businesses in terms of frequency and the orders that are coming in and what the pricing is and what the cost of goods and also after the order to delivery, how much time is consumed in the process till the end delivery. So you can see that this information is some exceptional information and we do assess the credit level based on this. So the irrespective of the quantity of data in terms of quality, the information that we can get in the process is completely different and composition versus what we can get from other banks or financial companies and we have also asked how we came to this working relationships. Neighbor and with Neighbor financial, we have been looking into various joint alliance projects and what Neighbor wanted to do was to engage in open relationship with multiple banks and not secured towards the specific banks, so it was a part of their open endeavors. So then, is there specific equity that you be acquiring the process, would like to repeat the question please? In the future, would there be any equity share or equity free between the two. Right now, no, there is no such plan in please. Yes. Thank you very much.
Operator: 31:56 Next question is from Hanwha Investment & Securities. We have Mr. [Indiscernible].
Unidentified Analyst: 32:03 Yes. Thank you very much for the opportunity. I am Kim. I have two questions. So you already talked about M&A, so it this need be redundant. However, through Various – using various scenarios I believe that I charged you are reviewing and you mentioned how there is, securities company tentative to available yet? So what is your plan with regard to your income. So, I believe you would have some scenarios ready to do what you do with regard to the rolled over income or revenue that you have in Q3, you have an M&A and in case you don’t have M&A, what are you going to do with returning back to the stockholders? And I believe that there a high possibility of delinquency going forward. And if there is a corporate delinquency, do you think that will be able to maintain [Indiscernible] this year or next year so, I hope that you can answer this credit related question?
Unidentified Company Representative: 33:21 Thank you much for your questions. I believe there were two questions in general. So M&A strategy related question was one. So what was the possible timeline and our capital plan going forward? So capital policy was the first question and second, talked about the potential this rate hike and also potential for [Indiscernible] and therefore in that aspect what are going to look like next year. So please bear with us as we prepare your answers. 34:16 Yes. Thank you very much, first I would like to address M&A and also capital related question. So once we have IRB approved and late September, I believe CET1 ratio is going to increase to eleven point four percent and as I mentioned earlier, I believe that we can acquire without difficulty and it’s my securities company, however if you want to talk about a large securities company, then they would have a risk-weighted assets of thirty trillion to forty trillion won and if there available the M&A market, then, I think that we would have to secure more capital through capital increase in order to acquire. So we are going to make do preparations for possible scenarios. Thank you. 35:10 And as for your asset quality related questions we have Mr. [Indiscernible]. Yes, thank you very much for your question. Next year's credit outlook. Well, our production is that currently because of COVID-19, we do have some loans issues, but I don't think that we do have any loan risks. During the past three to four years of when it comes to lending, we've been working through increase prime loans. And at the group level, eighty nine percent of our lending has been extended to prime lenders and therefore provided that, we don't have any financial crisis or like [Indiscernible] next year. I don’t think there will have any difficulties of maintaining that. That's all. So next year, when it comes to provisioning and also potential credit risks. We believe that we will be able to manage up safety and safe please, but as related to COVID-19 related lending, we are also pretty closely so that we can maintain stability as you have probably seen any use articles or size of the loans or not that big and also we do have these secured loans and we do have a collateral. So we don't that much a concern Thank you.
Operator: 36:37 Yes. Thank you very much. And you have time, we would like to receive one final question, we have from JB Financial Investment, Mr. [Indiscernible] Please go ahead with your question.
Unidentified Analyst: 36:52 Yes, hi everyone. [Indiscernible] From JB Investments. So I just wanted to confirm one more – one thing that was already mentioned. In year end, that was zero point four percent, just mentioned about the dividends and with the dividend, I think that this may drop. So I know that you're trying to maintain such ten plus, but as you said that acquiring mid-size securities would be no issue, but considering the loan related regulations next year, I know that you are going to control your capital ratios but if there isn’t any plans, you don’t believe that there there is enough buffer so then if it's mid-size securities firm that you're thinking of acquiring it we take that as presumption in terms of CET1. How much are you are able to tolerate below ten percent or eleven percent and what would be the final, I would say hard stop in terms of CET1. So this is about your plans going forward. What is the level that you would be able to tolerate and in terms of hybrid if you look at the amount it’s not but in order to acquire share one capital, I believe that considering next year as well. Are you thinking of maybe issuing more additional Tier 1 capital? And what can be replaced? 38:22 Yes, Mr. [Indiscernible], thank you very much for your question. So it had to do with our capital ratio your end, you wanted to some more information on your end guidelines. And also about the hybrid. With regard to new securities about the volume issuance and to our strategy going forward. Please bear with us for just a moment.
Unidentified Company Representative: 38:52 Yes, let me answer that question. So eleven percent is the plans for capital increase for next year as planned? And of course, if we do a share of a mid-size securities plan than the capital ratio will temporarily decrease. So our minimum guidance would be two point five percent of the capital buffer to market regulation and would be ten point five percent that we want to protect in guarantee. And within ten point five percent we believe that an M&A acquisition would not be an issue and with this is about two point five percent for retail loans as capital buffer that's when we do have that as that capital conversion buffer as maximum and in terms of hyper securities. When we converted to holding company, once in twenty nineteen and nine hundred billion additionally afterwards so the holding company has enough hyper securities in place and next year, we would be repaying some of the banking sector and we're thinking of that and we were remain that level, we're not going to increase significantly, we will be maintained in that level. Yes, investors and market participants thank very much for your questions.
Unidentified Company Representative: 40:29 And with that, we would like to conclude third quarter twenty twenty one with Woori Financial Group's earnings call. If you do have any additional questions, please contact our IR department and we will have your questions answered. Thank you very much for your interest. And Woori Financial Group and thank you for your participation.